Operator: Welcome to the Olin Corporation’s Fourth Quarter Earnings 2014 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Joseph Rupp, Chairman and CEO. Mr. Rupp, please go ahead.
Joseph Rupp : Good morning. Thanks for joining us today. With me this morning is John Fischer, our President and Chief Operating Officer; John McIntosh, our Senior Vice President of Chemicals; Todd Slater, Vice President and Chief Financial Officer; and Larry Kromidas, our Assistant Treasurer and Director of Investor Relations. Last night, we announced that income from continuing operations in the fourth quarter of 2014 was $12.8 million or $0.16 per diluted share, which compares to $24.7 million, or $0.31 per diluted share, in the fourth quarter of 2013. Sales in the fourth quarter of 2014 were $499.8 million, compared to $562.1 million in the fourth quarter of 2013. Fourth quarter 2014 results included $11.2 million of pretax restructuring charges, primarily related to the decision to permanently close approximately 50% of our chlor alkali capacity at the Becancour, Canada facility. Fourth quarter of 2013 results included $1.4 million of pretax restructuring charges, a pretax gain of $6.5 million associated with the sale of a joint venture interest, and $4 million of favorable tax adjustments. In 2015, we expect segment earnings in all three businesses to improve compared to 2014. In Chlor Alkali, we believe that we have reached the trough of this cycle. And as a result, we expect a meaningful year-over-year improvement in Chlor Alkali Products earnings which will be generated by improved ECU netbacks and higher volumes in hydrochloric acid, bleach and potassium hydroxide. In Winchester, while we forecast lower ammunition shipments in the first quarter of 2015 when we compared to the first quarter 2014, we expect ammunition shipments for the full year of 2015 to be similar to 2014. We also expect that the cost reductions from our ongoing centerfire ammunition manufacturing relocation project will result in improved Winchester segment earnings in 2015, when compared to 2014. Chemical Distribution segment earnings are also forecast to improve reflecting increased caustic soda, hydrochloric acid, bleach, and potassium hydroxide volumes. Overall, 2015 Olin earnings are forecast to be negatively impacted by higher corporate costs, including higher legacy environmental expenses and lower levels of pension income, which is primarily the result of adopting the newly mandated mortality tables. We are forecasting adjusted EBITDA in 2015 in the $340 million to $380 million range, which includes approximately $6 million of pretax restructuring costs. In 2014, Olin generated adjusted EBITDA of $344.2 million, which includes $15.7 million of pretax restructuring costs. Winchester's fourth quarter 2014 commercial volumes and segment earnings reached the second highest fourth quarter levels ever. During the fourth quarter of 2014, Chlor Alkali experienced both lower chlorine and caustic volumes and ECU netbacks, reflecting lower caustic soda prices, when compared to the fourth quarter of 2013. Fourth quarter 2014 Chemical Distribution segment earnings were comparable to the fourth quarter of 2013. And Olin’s fourth quarter of 2014 adjusted EBITDA was $60.6 million. First quarter 2015 net income is forecast to be in the $0.20 to $0.25 per diluted share range. Chlor Alkali first quarter 2015 earnings are expected to be similar to fourth quarter of 2014 reflecting higher ECU netbacks and higher volumes offset by higher operating costs. First quarter 2015 Chemical Distribution earnings are expected to improve from the fourth quarter of 2014 and earnings in the Winchester segment are expected to be slightly lower than the first quarter of 2013 levels. First quarter 2015 earnings are also expected to include pretax restructuring charges of approximately $1 million. The outlook for the Winchester business in 2015 and beyond continues to be positive and we believe that the commercial ammunition demand will remain above the levels experienced prior to the surge that began in late 2012. We also expect Winchester will continue to realize additional cost savings from the ongoing centerfire relocation project through 2016. We believe that core alkali industry is poised to improve from the trough conditions that we experienced in 2014. Chlor Alkali operating rates in November and December of 2014 were stronger and the overall Chlor Alkali output in the United States was the highest since 2008. In January 2015, Olin announced a $75 per ton chlorine price increase. Other producers have announced chlorine price increases because of the solid industry operating rates and the strong demand during a typically weaker season, we believe some portion of this chlorine price increase will be realized. In addition our Chlor Alkali business continues to experience growth, value-added products such as bleach, hydrochloric acid and potassium hydroxide and during the fourth quarter of 2014 over half of our Chlor Alkali segment earnings were generated from the sale of these value-added products. We continue to look for ways to best deploy our cash flow in a manner to increase shareholder value and we will continue to consider accretive acquisitions and investments, share repurchases and dividend policy. During the fourth quarter, we repurchased approximately 830,000 shares of our common stock and for the full year 2014, we repurchased approximately 2.5 million shares of common stock. We intend to be a consistent, steady and opportunistic buyer of our shares over time. Overall, I continue to be optimistic about our prospects. We believe our Chlor Alkali business has reached the trough of this cycle for both demand and pricing. The business is also continuously being strengthened by the increased production and sale of co-products. We also believe that prospects for Winchester were brighter than ever and are being enhanced by the ongoing centerfire ammunition relocation. In the Chemical Distribution business, we are seeing gradual improvements and we’ve seen increased shipments of Olin produced bleach, hydrochloric acid and potassium hydroxide during 2014. And to reiterate in 2015, we expect segment earnings in all three businesses to improve when compared to 2014. As a result, Olin is well positioned to generate consistent positive cash flows and to further grow the business and reward our shareholders. I am going to turn the call over to our President and Chief Operating Officer, John Fischer who will discuss the businesses in more detail. John?
John Fischer : Thank you, Joe. Let me begin with Chlor Alkali. Demand for chlorine in Olin’s system continued to be uneven during the fourth quarter. Fourth quarter 2014 chlorine shipments declined 7% compared to the fourth quarter of 2013 as several of our larger chlorine customers had planned an unplanned maintenance outages. The uneven demand was reflected by the level of chlorine shipments to major end-use customers. Fourth quarter 2014 chlorine shipments to vinyls customers decreased by 36% compared to the fourth quarter of 2013, while shipments to titanium dioxide customers increased 38% and shipments to urethane customers were similar to the fourth quarter of 2013. Fourth quarter 2014 caustic soda shipments were also similar to the fourth quarter of 2013. As we had previously discussed in late June, we experienced an incident at one of our two Chlor Alkali production units at our Becancour, Canada facility. The other unit has continued to operate at normal rates. The diamonds unit which represents approximately 50% of the facility’s capacity did not operate in the third and fourth quarters and we have announced our plan to permanently close this capacity. As a result, our system-wide capacity has been reduced by approximately 9%. After giving consideration to this closure, our operating rate for the fourth quarter of 2014 was 84%. During the fourth quarter of 2014, the impact of planned and unplanned customer outages reduced our operating rate by approximately 3 percentage points. Fourth quarter 2014 shipments of hydrochloric acid increase 4% compared to the fourth quarter of 2013, and potassium hydroxide shipments increased 14%. Fourth quarter 2014 shipments of bleach were similar to the fourth quarter of 2013 but full year 2014 bleach shipments improved 2% compared to the 2013 level. In addition to the year-over-year growth in bleach, hydrochloric acid full year 2014 shipments increased 19% compared to 2013 and were a full year record. Full year 2014 potassium hydroxide shipments increased 9% compared to 2013 and were also a full year record. During the fourth quarter of 2014, the ECU netback was approximately $490 per ton, compared to approximately $525 per ton in the fourth quarter of 2013 and the third quarter of 2014 level of approximately $505 per ton. In the first quarter of 2015, we expect ECU netbacks to increase compared to the fourth quarter of 2014, but to be lower than the first quarter of 2014 level. We anticipate sequential improvement in both chlorine and caustic soda pricing from the fourth quarter of 2014 to the first quarter of 2015. During the fourth quarter of 2014, the caustic soda price indices increased to a total of $30 per ton. The benefit of this increase should favorably impact the first quarter of 2015 ECU netbacks. Because of an improved outlook for chlorine demand in our system, Olin announces $75 per ton chlorine price increase in January. While we believe some portion of this chlorine price increase will be realized, the impact is not expected until the second quarter of 2015. As Joe mentioned, we believe that the Chlor Alkali cycle has troughed out and a typical Chlor Alkali cycle improvement is led by increased demand from the chlorine side of the molecule, which results in improved operating rates and higher chlorine prices. We believe that 2015 could be the start of a new Chlor Alkali cycle. Fourth quarter 2014 hydrochloric acid prices increased compared to the fourth quarter of 2013 levels and also compared to the third quarter 2014 levels. Hydrochloric acid prices continue to represent a meaningful premium to the price of chlorine. We continue to make progress in our objective in the Chlor Alkali business to growing the amount of our chlorine capacity that is sold as bleach or hydrochloric acid. Over the past five years, our bleach volumes have grown at a compound growth rate of 11% and hydrochloric acid volumes have grown at a rate of 8%. Fourth quarter Chlor Alkali 2014 segment earnings were $28.8 million compared to fourth quarter 2013 segment earnings of $30.7 million. The year-over-year decline reflects lower chlorine and caustic soda volumes and lower ECU netbacks, partially offset by higher volumes of hydrochloric acid and potassium hydroxide, higher hydrochloric acid prices and lower costs. First quarter 2015 Chlor Alkali segment earnings are forecast to decline compared to the first quarter of 2014 primarily due to lower ECU netbacks. We expect the first quarter 2015 operating rate to be in the mid 80% range. Now turning to Chemical Distribution. The financial performance for the Chemical Distribution business in the fourth quarter of 2014 was comparable to the fourth quarter of 2013. During the fourth quarter of 2014, the business experienced significant growth in the shipments of Olin-produced hydrochloric acid and potassium hydroxide. In fact, during the fourth quarter 2014, the business achieved a record level of quarterly shipments of these Olin-produced products. We are encouraged that these products are beginning to gain traction in our Distribution customer base. Increased sales of these co-products will be a key component in the improvement of Chemical Distribution’s profitability as we move forward. In the fourth quarter of 2014, caustic soda shipments were similar to the fourth quarter of 2013. We have continued to experience aggressive pricing in the caustic soda market from large global distributors which reduced fourth quarter 2014 caustic soda margins compared to the fourth quarter of 2013. Fourth quarter 2014 bleach volumes were comparable to fourth quarter 2013 levels. Chemical Distribution’s fourth quarter 2014 and 2013 segment earnings were both breakeven. The effective higher shipments of hydrochloric acid and potassium hydroxide were offset by lower caustic soda margins. Fourth quarter 2014, Chemical Distribution segment EBITDA was $3.9 million. We expect Chemical Distribution earnings in the first quarter of 2015 to improve from the first quarter 2014. In the first quarter, we anticipate continued sequential improvement in Chemical Distribution sales of Olin-produced hydrochloric acid and potassium hydroxide from the fourth quarter of 2014. The Chemical Distribution business has been and continues to be a positive generator of cash for Olin. Since the acquisition, the after-tax cash flow has been approximately $50 million. As a result of the growth in co-product sales and the continued focus on improving the returns in caustic soda, we expect the EBITDA generated by the Chemical Distribution to double over the next two years. In addition to this growth in Chemical Distribution segment EBITDA, we also expect the Chlor Alkali business to realize approximately $10 million to $15 million of annual benefit on the Chemical Distribution EBITDA from producing the co-products as well as logistics and infrastructure cost savings. And now Winchester. Fourth quarter 2014 Winchester segment results reached the second highest level of fourth quarter earnings in the history of the business. As expected, commercial demand declined from surge levels for pistol, shotshell and rifle ammunition, while wind fire ammunition demand continued at record levels. Fourth quarter commercial sales declined approximately 25% while sales to law enforcement customers increased by approximately 23%. Fourth quarter 2014 sales were $147.2 million which is %17 lower than the record fourth quarter 2013 sales and fourth quarter 2014 segment earnings of $17.4 million, also a decline from the record fourth quarter of 2013 level. The fourth quarter 2014 year-over-year decline in Winchester’s segment earnings reflects the combination of lower volumes, higher material and other costs, and higher manufacturing costs, primarily due to two planned maintenance outages. These were partially offset by improved pricing. For the full year 2014, commercial sales decreased 9% compared to the surge levels in 2013, while full year law enforcement sales increased to 11% compared to 2013. This resulted in full year Winchester sales of $738.4 million, a decrease of 5% from last year’s record level. Full year 2014 Winchester segment EBITDA was $143.6 million, compared to $158.1 million in the surge year of 2013. As we move into the first quarter, while consumer demand for pistol shotshell and rifle ammunition has declined compared to surge levels, it remains robust. The commercial backlog at December 31, 2014 is approximately $215 million, which well below $400 million level we experienced throughout most of 2013, which is substantially higher than the pre-surge levels we experienced in 2012. As a point of comparison, the pre-surge December 31, 2011 commercial backlog was approximately $30 million. During the fourth quarter of 2014, the purchase cost of copper declined compared to the fourth quarter of 2013 while the purchase cost of lead and zinc increased compared to the fourth quarter of 2013. Also, the full year purchase cost price for copper was lower than the 2013 full year price and the full year 2014 purchase prices for lead and zinc were higher than the 2013 prices. In total, commodity metal cost in 2014 was slightly lower than they were in 2013. The centerfire relocation project continues to move forward and to generate cost reductions. During the fourth quarter of 2014, all pistol ammunition and approximately 85% of all rifle ammunition were produced in Oxford. By the beginning of December, all commercial rifle ammunition was being produced in Oxford. During the full year 2014, the cost savings realized were approximately $24 million and at the end of 2014, approximately 775 of the projected 1000 total jobs to be relocated had been moved. During 2015, we forecast the annual cost savings realized from the centerfire ammunition relocation project to increase to approximately $30 million and we continue to expect the entire relocation to be completed by early 2016. We also continue to believe the annual cost savings realized from the project will be $35 million to $40 million and that this level of savings will be realized annually beginning in 2016. Winchester’s first quarter 2015 segment earnings are currently forecast to decline compared to the earnings in the first quarter of last year, but will be only slightly lower than first quarter 2013 surge level. As we look at the full year 2015 for the Winchester business, we believe ammunition volumes in the second half of the year may experience a year-over-year improvement from 2014. Of note, January 2015 Federal Fire Arm’s background check increased 8.4% compared to January 2014 which was the fourth consecutive year-over-year monthly increase. As a result of our view of the 2015 ammunition demand, and the cost reductions from the Oxford relocation, we are forecasting that our full year 2015 Winchester segment earnings will improve as the 2014 segment earnings of $127.3 million. As we look at the Winchester business over the long run, we continue to believe that the significant increase in gun ownership that has occurred over the past five years as well as the increase in the number of people who have become regular target shooters will result in commercial ammunition demand in excess of historical levels. The combination of the improved demand profile and the full realization of the $35 million to $40 million of annual cost savings from the centerfire ammunition relocation projects make us confident in the long-term prospects for the Winchester business. Now, I’d like to turn the call over to our Chief Financial Officer, Todd Slater, who will review several financial matters with you.
Todd Slater : Thanks, John. First, I’d like to discuss the balance sheet and the 2014 cash flow. Cash and cash equivalents at December 31, 2014 totaled $256.8 million compared to $307.8 million at December 31, 2013. During 2014, working capital employed increased by approximately $62 million, the increase primarily reflected the anticipated higher levels of inventory. Winchester’s year-end inventory was increased by approximately $30 million, because it was able to replenish inventories in 2014 and that it has liquidated in 2013. Capital spending in the fourth quarter of 2014 was $22.1 million and for the full year it was $71.8 million. Full year depreciation and amortization expense was $139.1 million. By comparison capital spending in 2013 was $90.8 million and depreciation and amortization expense in 2013 was $135.3 million. In 2015, we forecast that capital spending will be in the $120 million to $130 million range and that depreciation and amortization expense will be in the $140 million to $145 million range. We believe that the maintenance level of capital spending will be in the $70 million to $80 million range. During the fourth quarter, Olin repaid $13.2 million of debt that matures. During 2015, there will be $50.4 million payments on maturing debt. During the fourth quarter of 2014, we repurchased approximately 830,000 shares of Olin’s stock at a cost of $20.1 million. A total of 2.5 million shares have been repurchased during 2014 at a cost of approximately $64.8 million. There were approximately 6.1 million shares remaining under the April 2014 8 million share authorization. And as Joe said earlier, we intend to continue to repurchase shares on a consistent and steady and opportunistic basis. Now turning to the income statement. Selling and administration expense decreased $13.8 million in the fourth quarter of 2014, compared to the fourth quarter of 2013. This year-over-year decrease was primarily due to lower stock-based compensation of $8.1 million which includes mark-to-market adjustments and lower legal and legal-related settlement costs of $6.6 million. The higher legal and legal-related settlement costs in the fourth quarter of last year primarily related to legacy environmental issues and environmental insurance recovery activity. The mark-to-market adjustment associated with stock-based compensation reflects the approximately $2.50 per share decrease in the old stock price experienced in the fourth quarter of 2014. Each dollar change in stock prices, increases or decreases selling and administration expenses by approximately $750,000. In the fourth quarter of 2013, the stock price increased by approximately $6 per share. Selling and administration expenses as a percentage of sales were 8% in the fourth quarter of 2014, compared to 10% in the fourth quarter of 2013. Full year 2014 selling and administration expenses decreased by $94.6 million, compared to full year 2013 levels. This year-over-year decrease was primarily due to lower incentive compensation of $18.1 million which includes mark-to-market adjustments on stock-based compensation and lower legal and legal-related settlement cost of $15.5 million, partially offset by $13.9 million recovery of legacy legal costs in 2013. In 2015, we expect selling and administration expenses to be somewhere to the 2013 level. Fourth quarter 2014 charges to income from environmental investigatory and remedial activities were $1.9 million which includes $1.4 million of pre-tax recoveries of cost incurred and expenses in prior periods. Without these recoveries, charges to income from environmental investigatory and remedial activities would have been $3.3 million in the fourth quarter of 2014, compared to $5.3 million in the fourth quarter of 2013. These charges relate primarily to expect future investigatory and remedial activities associated with past manufacturing operations and former waste disposal sites. Full year 2014 charges to income from environmental investigatory and remedial activities were $8.2 million which includes $1.4 million of recoveries from third-parties of cost incurred and expenses in prior periods. 2015 expenses for environmental investigatory and remedial activities are forecast to be in the $15 million to $20 million range and we are not forecasting any recovery in 2015 of environmental investigatory and remedial costs incurring expense in prior periods. On a total company basis, defined benefit pension plan income was $6.1 million in the fourth quarter of 2014, compared to $5.2 million in the fourth quarter of 2013. The Society of Actuary has finalized a new set of mortality tables in October of 2014. Mortality is a key assumption in developing actuarial estimates. These mortality tables impact the devaluation of Olin’s pension and other post-retirement benefit obligation liabilities by approximately 5%. As a result of these new mortality tables, we expect 2015 defined benefit pension plan income to be approximately 7% - I’m sorry, $7 million lower than 2014. We did not made any cash contributions to our domestic defined benefit pension plan in 2014 and we will not be required to make any cash contributions to our domestic defined benefit pension plan in 2015. During 2014, we did contributed approximately $1 million to our Canadian benefit pension plan and expect to make similar cash contribution in 2015. During the fourth quarter of 2014, Olin recorded a pre-tax restructuring charge of $11.2 million. This included a $10 million restructuring charge associated with permanently closing a portion of the Becancour, Canada’s Chlor Alkali facility. The Becancour restructuring charge included $3 million of non-cash fixed asset write-off. During the fourth quarter of 2014, we completed the restructuring projects related to excellent use of mercury cell technology in the Chlor Alkali manufacturing process. We currently expect that pre-tax restructuring charges of approximately $6 million will be recorded in 2015 related to the ongoing relocation of the Winchester center for ammunition manufacturing operations from East Alton, Illinois to Oxford, Mississippi and the closure portion of the Becancour, Chlor Alkali facility. The effective tax rate from continuing operations in the fourth quarter of 2014 was 34% and for the full year, the cash tax rate was approximately 19%. In 2015, we are current – we believe that the effective tax rate will be in the 35% to 37% range. On January 23rd, Olin’s Board of Directors declared a dividend of $0.20 per share on Olin’s – on each share of Olin common stock. The dividend is payable on March 10, 2015 to shareholders of record at the close of business on February 10, 2015. This is the 353rd consecutive quarterly dividend to be paid by the company. Before we conclude, let me remind you that throughout this presentation, we have made statements regarding estimates of future performance. Clearly, these are forward-looking statements, and results could differ materially from those projected. Some of the factors that could cause actual results to differ are described, without limitations in the Risk Factors section of our most recent Form 10-K and in our fourth quarter earnings release. A copy of today's transcript will be available on our website in the Investors section under Calendar of Events. The press release and other financial data and information are available under Press Releases. Operator, we are now ready to take questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Frank Mitsch of Wells Fargo Securities. Please go ahead.
Q – Sabina Chatterjee: Hey, good morning. It’s Sabina Chatterjee in for Frank today.
Joseph Rupp: Hi, Sabina.
Q – Sabina Chatterjee: Hello. Regarding your commentary on Chlor Alkali, having reached the trough of the cycle with chlorine now leading increases, can you just give us a little more color on what you are seeing in the marketplace, maybe in terms of supply and demand from various end-markets?
John McIntosh: Sabina, this is John McIntosh, our system – our system from a chlorine standpoint is tight. Even though, early in the fourth quarter we saw some customers destocking inventory, we’ve seen recovery in a lot of the market segments chlorine consuming market segments as we entered into the first quarter. And, we really believe that that recovery of demand and the expected 4% or 5% capacity – industry capacity that will be out of service for maintenance turnarounds in the months of February and March is going to create a supply demand balance that leading into the spring and the beginning of seasonal chlorine demands is going to be an attractive backdrop for us. And we believe that at that point in time, we will see everyone else in the similar position worrying with a real tight supply demand balances. So that’s the basis for our forecast of continuing improving dynamics on the chlorine molecule.
Q – Sabina Chatterjee: Okay, and then, with the Becancour closure, you’ve taken out about 9% of capacity, how much of that volume would you say is lost business versus spread across the existing asset base and have you factored that into your 80% operating rate for 2015?
John McIntosh: There is no lost – no lost sales associated with that capacity, when we look at our operating rate forecast for the coming year, we expect to be operating in the high 80s for the entire year of 2015 and that’s consistent with the capacity that we currently have employed. The capacity we took out at Becancour was really swing capacity for us and we took it out and somehow we are in a position where we are able to operate all of our facilities at high operating rates which is the most efficient situation for any Chlor Alkali producer to be in.
Q – Sabina Chatterjee: Okay, terrific. Thank you.
John McIntosh: Thank you.
Operator: Our next question comes from Christopher Butler from Sidoti & Company. Please go ahead.
Christopher Butler : Hi, good morning everyone.
Joseph Rupp: Good morning.
Christopher Butler : I was hoping you might offer a little bit more color on the confidence that you have on the pricing environment for Chlor Alkali and the timing there. It’s been a while since we’ve seen chlorine price increases. So it that similar as far as the timing for you as the caustic soda price increases that you have had in the recent past?
John McIntosh: I added one other comment to what – to the answer I just gave to the previous question. 2014 total production for Chlor Alkali was as high as the industry had seen since 2008. So we believe that we are at the endpoint of a trough and that we will see 2015 start the recovery. We believe it will be a chlorine led recovery which is traditional when you look at recoveries from past troughs in our industry. However, there is an alternative scenario which some people believe might be likely based on the change in oil pricing and that is the change in oil pricing will really put pressure on exporting chlorine derivatives from the US and if that happens, we believe we’ll see caustic supply be under pressure, which I believe would facilitate improvements in caustic pricing. So we believe we are in a position where depending upon how 2015 plays out, we will have pricing leverage on one part of the molecule or the other.
Christopher Butler : Thanks, and with the oil prices down, could you talk about hydrochloric acid and your thoughts on that part of the molecule as we look to 2015?
John McIntosh: I can’t – when we look at demand across all the segments, oil being one of them, oil sticks out as the one in which there is some reduction in demand. We’ve seen a reduction in rig counts, but I think it’s important to understand that in the HCL, into the oil patch market segment, not all of the shale plays are created equal. There is some that have much higher cost to extract than others. We believe that the shale plays that we are concentrated and focused on based on the locations of our plants, and the oil field services companies that we are working with are the more competitive lower priced to extract plays that exist. So, while we understand that oil pricing will [indiscernible] with demand in this segment, we don’t think it will be anything significant and we believe that if you look across the other demand segments for HCL, food and others that they continue to be strong. So, that’s one side of the equation. On the supply side of the equation, we continue to believe that supply or overcapacity is not a phenomenon we are going to see at least through the first quarter, the byproduct production facilities have not really started up, there is still outages that are putting a dampening impact on byproducts supply. The – some of the HCL burners that were scheduled to come online in the early part of 2015 has been announced that they are delayed. So on the supply side, we don’t see negative impact as well as we look into the first half of the year.
Christopher Butler : And just finally, with the increase in capital spending, now that you are shifting to bleach production in Becancour, is there anything else that you planning on doing in 2015 that has that number up?
John Fischer: No, it’s continued spending on Oxford as we wrap that up and there is a little bit of de-bottlenecking around some of the HCL and bleach and the Chlor Alkali system and other than that, it’s more standard maintenance level of spending.
Christopher Butler : I appreciate your time.
Operator: The next question comes from Herbert Hardt with Monness. Please go ahead.
Herbert Hardt : Thank you. Could you give us an idea of the percentage of production and chlorine and cost that’s gone into your upgraded products now, would you expect it to be a year from now?
Joseph Rupp: I think in 2014, about between 20% and 25% of our chlorine went into the co-products and we’ve talked historically that we have an objective to get that up to between 30% and 35%.
Herbert Hardt : So we can reach that by the end of this year?
Joseph Rupp: I would say that’s probably not likely, it would probably be in 2016.
Herbert Hardt : Okay. Thank you.
Joseph Rupp: Thank you.
Operator: Our next question comes from Don Carson of Susquehanna Financial. Please go ahead.
Donald Carson : Yes, thank you. I want to go back to your view of the cycle, John. You mentioned that, you see the molecule going up in either scenario. But, would it be fair to say that a stronger and tighter caustic market is better for Olin?
Joseph Rupp: Well, we’ve always said that, as a merchant caustic player that we are better served when caustic is tight. But, as we continue – that was a comment that was true and historically and still to some extent it’s true, but what’s moderated that a little bit, Don, I believe is, as we move more and more chlorine into co-products, which in all cases are really premiums to what we would sell chlorine at if we were selling it in the merchant market. We’ve made ourselves less concerned about which molecule is strong, because we have the ability to participate in value-added chlorine derivative products and we have the historical base of caustic volume that we sell into. So, we are comfortable in either situation.
Donald Carson : Okay, then switching to Winchester, just a question on the backlog and how firm it is. Back, when you had those $400 million backlogs, did any of that disappear, because it was double-ordering or were those all good orders and what does that imply for the quality of the backlog today?
Joseph Rupp: I think, ultimately, most of that backlog became good backlog, Don, and I think the backlog we are looking at today as we analyze it looks like good backlog. I can never guarantee you that somebody isn’t going to come in and change in order down or up. But generally speaking, the backlog looks deliverable.
Donald Carson : All right, thank you.
Operator: The next question is from Jason Freuchtel of SunTrust Robinson Humphrey. Please go ahead.
Jason Freuchtel : Hey, good morning. How much of the caustic and chlorine price increases are included in your 2015 EBITDA guidance? And can you also provide some greater detail on what will drive operating costs higher in the Chlor Alkali segment in 2015?
Joseph Rupp: I believe our cost comment was relative to the first quarter and we have some shutdowns – shutdown costs in the first quarter that we didn’t have in the fourth quarter and that’s the cost delta that we were referring to. In terms of pricing, that we have forecast on our numbers, we don’t typically comment on what we expect to see. We do expect to see improvement in chlorine and caustic pricing and improvement in the overall ECU as we compare 2015 with 2014 actual results.
Jason Freuchtel : Okay, and how have Chlor Alkali plant outages in Europe impacted domestic demand and pricing you are seeing? And how would the industry domestic demand supply environment be impacted if the West Coast ports went through with a shutdown?
Joseph Rupp: The first question about Europe, let me speak to that. What we have seen is that, caustic, although caustic has looked at globally, it’s also looked at regionally and one of the areas where caustic pricing has been the strongest is really been in the northeast, northeast coast of the US and that is driven almost entirely by the fact that what’s gone on in Europe’s Chlor Alkali industry has really been a situation in which there isn’t caustic to export from Europe to North America. And so, that’s created a situation where pricing in the US northeast has been more positive than maybe it’s been in some other regions. So, we have seen that impact and we have seen some regional price strength because of that. It hasn’t translated necessarily to other regions because import or exports from the Far East to the West Coast continue. And, I don’t know that I have a comment to make on strike – the strike comment about the West Coast. I think typically, the ports that typically serve us both caustic, both chemical imports are not always the same ports that are tied up with these huge container ships. But I just don’t really know how to answer that question without doing more study.
Jason Freuchtel : Okay, and then turning to Winchester briefly, can you explain the shift in Winchester demand throughout 2015? It sounds like ammunition demand for 1Q 2015 may be weaker year-over-year, but demand in the second half will actually be better than environment in 2014 that was experiencing normalizing demand patterns. Is that the case?
Joseph Rupp: I think you got a scenario where you had the business filling up inventory or replenishing inventory that is virtually complete at this point in time and that we are going to go back to a more typical seasonal demand which would suggest that the second half of the year would be stronger and we do expect as we’ve said that there is continuing growth in this business.
Jason Freuchtel : Okay, great. And then, lastly, how should we think about cost savings from closing your Becancour facility?
Joseph Rupp: I don’t think we’ve commented on that at this point in time and think what we’ve essentially said is, that we right-sized the business for the geography in which should operate and the plants going to be focused on bleach and hydrochloric acid.
Jason Freuchtel : Okay, great. Thank you.
Operator: The next question comes from Arun Viswanathan of RBC. Please go ahead.
Arun Viswanathan: Thanks guys. I just wanted to go back to the guidance a little bit and tie it back with the first quarter. So if I go through the numbers, it looks like you are going to be around $0.20, $0.25 in the first quarter and then 2015 looks like it's going to be a little bit like 2014. I mean, so, are you guys calling for a much stronger back half and similarly, if I go through the ECU realizations to get to - you did about $505 million or so in 2014, would you say that that should be materially higher in 2015? And that's why you are saying that you've reached a bottom and the cycle should be up from here?
Joseph Rupp: I think there is two driving factors about the way we see the year unfolding. One is, the comments that were made about ECU pricing, where we expect them to improve sequentially coming out of Q4 and that we think as John said there is positive momentum for pricing throughout the year and then the comments we just made on Winchester where we think we are really looking at the low point and at the front-end of the year and we see improvement as we move through the year.
Arun Viswanathan: Okay, and then just so I am completely clear on this, because there wasn't a $25 or so realization in caustic the fourth quarter. Do you expect any of that to come through in the first quarter and if not, how many more price increases do you think would be announced in the coming months in order to get these prices through?
Joseph Rupp: What we said that there was $30 of caustic price increases cumulatively recognizing index in Q4 that we said would benefit us in the first and second quarters of 2015.
Arun Viswanathan: Okay, so, I guess, most of that is in the second quarter and that's why your - that combined with the low Winchester guidance in the first quarter is why you see earnings improving through the year?
Joseph Rupp: Yes, we expect to see some realization of the caustic in Q1, but the majority in Q2. So your comment is right.
Arun Viswanathan: Okay, and then the reason I am asking is because it sounds like there has been some pressure on export markets in caustic, are you seeing that, I know it's less of your volume, but are you seeing that? And then secondarily, I am also struggling with the fact that your costs will likely be lower because of lower operating cost. I know that natural gas isn't a large part of your system, but I am just curious as to why that's not a bigger benefit for you guys. Thanks.
Joseph Rupp: On the caustic export market, it’s not a big market that we participate in, but when you look nationally and you look at numbers through the end in November which is the latest numbers we have. In aggregate, 2014 looks a lot like 2013 did in which net caustic imports were about 1.5 million tons. That’s comprised of about 2 million tons of exports and about 0.5 million of imports. So the US continues to be on a 2014, compared to 2013, a net exporter of 1.5 million tons of caustic. We don’t see that trend changing in the future. As a matter of fact, some of the volume that typically originated in Europe and found its way into South America maybe volume that has picked up logically by US shipments. So, if anything the bias would be towards that net number being higher.
Arun Viswanathan: Okay and then anything on the cost side you could help us with?
A –Todd Slater: I have mentioned that we had a turnaround in the first quarter and that was a comparison of costs from Q4 2014 to Q1 2015, but that’s the only comment we made about costs.
Arun Viswanathan: So outside of the turnaround, would you expect your operating costs to be lower on lower energy prices?
A – Todd Slater: We had not made a comment around energy. Other than that, we’ve said we are not – our system is not fully exposed to gas like many of the Gulf Coast producers.
Arun Viswanathan: All right, okay. Thanks.
Operator: The next question comes from Edlain Rodriguez of UBS. Please go ahead.
Edlain Rodriguez : Thank you. Good morning, guys. Joe, a quick question for you. I mean, you’ve talked about being interested in strategic acquisitions. So besides the one big asset that's out there from Dow, are there other assets available that you might be interested in that could fit into your portfolio, essentially, where are you seeing opportunities for strategic acquisitions?
Joseph Rupp: There are other assets available that we would have an interest in.
Edlain Rodriguez : Okay, that's clear. And just one quick question on caustic soda prices, I mean, we've had some increases in November, December and then the market seems to have stalled a little bit, but you seem to be – I mean, IHS is looking at prices flattish to down going forward as chlorine prices go up, but you seem to think that caustic prices can go up. But how confident are you that could be the case and where could IHS be wrong?
Joseph Rupp: Well, I think that, it’s not fair to say that that we believe both price – caustic – prices on both molecules are going up. We believe that a typical chlorine-led recovery coming out of a Chlor Alkali industry trough is one in which chlorine pricing leads and at least initially gives pressure on caustic pricing because of the improved operating rates. And we are not advocating a position where you would see price improvements in that kind of an environment on both molecules.
Edlain Rodriguez : Okay, that's what I thought. Thank you very much.
Joseph Rupp: Thank you.
Operator: Our next question comes from John Roberts of UBS. Please go ahead.
John Roberts : Thanks for taking my questions. Overseas chlor alkali producers have power based on oil, it sounds like you don't think lower oil prices will allow them to be more competitive in some of the export markets and I’m curious as to why that would be?
John McIntosh: The perspective I have on that is, yes, they will be, their competitive position will be improved because of electricity pricing. But I honestly believe that when you look at Europe, there has been and will continue to be capacity rationalization as the European mercury sale component of their chlor alkali industry is rationalized or is converted. And that’s going to really reduce the amount of product that the European community has the export even at an improved competitive position, because they still have a freight cost of moving it somewhere and that doesn’t offset that improvement in their overall cost position. We believe that the Asian economies will see also some improvement in their operating costs. But they are currently operating, in some cases below an acceptable return number and we believe that at least in some of those economies they are not going to be transformed just because of lower oil prices on some temporary basis into being able to take advantage of that by exporting to other markets.
John Roberts : Thank you.
Operator: Our next question is from Dmitry Silversteyn of Longbow Research. Please go ahead.
Dmitry Silversteyn : Good morning gentlemen. Couple of quick questions. First of all, just out of curiosity, your chlorine shipments were down, I think you said 8 -7% year-over-year and your caustic was flat. I think you are using between potassium hydroxide and hydrochloric acid and bleach roughly the same amount of chlorine and caustic. So where did you get the extra caustic from, since your chlorine - I'm assuming you run your plants to chlorine demand. So it would sound like it would be down as well as chlorine?
Joseph Rupp: The one big change, Dmitry was we talked about the increased year-over-year in hydrochloric acid which liberated caustic and the other is just simply a change in inventory position on caustic.
Dmitry Silversteyn : Okay, okay. Got it. Secondly, your Winchester projections for 2015 where you expect flattish profits year-over-year, I would say, significantly better than what you were intimating the post-surge performance of Winchester can be. Are we not officially in the post-surge environment yet and there is still some benefit or is the improvements in the market that took place during the surge allows you to believe that, sort of post-surge fundamentals will be much stronger than you previously expected?
Joseph Rupp: The post-surge fundamentals will be stronger than what we’ve previously expected.
Dmitry Silversteyn : Fair enough. With that segue, there has been some talk and you addressed this on a couple of occasions of potentially or thinking about or contemplating potentially monetizing the Winchester asset, given the higher profitability level, which, theoretically, at least makes it a more viable standalone entity. Are there any changes in your thought process or timing or sort of outlook for this business?
Joseph Rupp: No, as we’ve stated before, that’s an option and something that actually we evaluate it on a regular basis.
Dmitry Silversteyn : Okay, but no – no updates on any timing or any decision getting close?
Joseph Rupp: No, Dmitry.
Dmitry Silversteyn : All right, and one final question. Your bleach volumes were up about 2% year over year. You continue to express a lot of – sort of confidence in bleach growth and certainly in the market penetration phase, I would expect you to continue to do better. Was there anything specific about 2014 that’s caused the volumes of bleach to slow down? Were you capacity-constrained at any point or was it weather impact or…?
Joseph Rupp: Weather was a big impact last year.
Dmitry Silversteyn : In 2014?
Joseph Rupp: We were not capacity-constrained. The issue in 2014 was weather and in the first half of the year and total bleach demand that we could service.
Dmitry Silversteyn : Okay, so, basically, the cold weather in the first half of the year, which, with the ponds freezing, you don't need to – did this in fact that impacted the whole year for you at the end of the day. And then you don't expect that to happen obviously in 2015.
Joseph Rupp: We are expecting a more normalized pattern for bleach consumption in 2015.
Dmitry Silversteyn : Okay, very good. That's all the questions I had. Thank you very much.
Operator: The next question is from Richard O'Reilly of Revere Associates. Please go ahead.
Richard O'Reilly : Thank you. Good morning still guys.
Joseph Rupp: Good morning.
Richard O'Reilly : Can you discuss the other corporate and allocated cost line, I mean, an outlook for 2015 on it, because the other sub-segment line items are going to be negative for you. Can you talk about that other corporate line?
A – Todd Slater: As I think, we’ve said, we expect environmental cost to be $15 million to $20 million, pension income to be about $7 million lower and I think we’ve said in our remarks, SG&A for 2015 full year will be similar to 2013. I would take that as a proxy for what we would expect for that corporate and other line for 2015.
Richard O'Reilly : Okay, fine, okay. And in my press release for the outlook for the first quarter, it says Winchester should be slightly lower than the first quarter 2013 level. Is that right?
Joseph Rupp: That’s correct.
A – Todd Slater: That’s right.
Richard O'Reilly : That's correct, okay, fine. And the last question, this is the tongue and cheek, in your outlook for the full year of 2015, can I get you to define what you mean by meaningful year-over-year improvement in the chlorine business?
Joseph Rupp: Well, meaningful means measurable.
Richard O'Reilly : Okay, good. Okay, that helps. Thank you, guys.
Operator: Our next question is from Owen Douglas of Baird. Please go ahead.
Owen Douglas : Hi, guys. Thanks for taking my question here. Just wanted to drill in down a little bit more on some of your comments regarding the investments and any acquisitions, just wanted to better understand what sort of a profile do you think would fit in with your business?
Joseph Rupp: We’ve often stated that further downstream, more bleach, more ability from hydrochloric acid, more potential distribution strategically located and there are several smaller chlor alkali producers who would make sense for us. So those would be the areas that we would be looking.
Owen Douglas : Okay and as far as that goes, is this a view to - sort of speculated a bit about the Winchester ammunition, there has been a bit of a sale in that business. Could that possibly be a use of proceeds or is there a view towards raising additional capital, because just sort of going through some back-of-the-envelope numbers here, it sounds as though there is going to be ballpark $50 million, $100 million, call it, of cash flow that could be used to make these investments. Are we looking at a bigger number here, where you guys may need to raise additional financing, or could there be some recycling of capital?
John Fischer: I think, there is a pretty broad spectrum of what could happen there. I don’t think as we think about strategic investments like that. We think about Winchester generally as a source of funds. I think what we’ve said historically is that they were the large transformational chlor alkali type of transaction we would consider at. But, again we haven’t committed ourselves to doing anything with Winchester, I mean, we’ve talked in the past. We have as virtue of owning it for 120 plus years, we’ve got a very low tax basis, a sale of Winchester for cash could be problematic.
Owen Douglas : Understood, understood, okay. So that would require a bit more of a creative financing structure there to - in order to make that appealing to you, I guess. Okay, and finally, on the Chemical Distribution business, so - if you wouldn't mind, walk me through how exactly you can see sort of having the EBITDA levels double in the coming years? What are some of the puts and takes? Do you need to see a bit of a less competitive environment in that segment? Or is that more of a GDP growth type scenario? Can you help me understand what are some of these swing factors that could help you guys double the EBITDA in that segment?
John Fischer: The biggest element in that growth is what we talked about when we made the acquisition which was our goal was to move more of the Olin produced products, potassium hydroxide, HCL and bleach through their system. And that for us is simply an issue of execution getting the tanks, getting the customers, selling the products, because we can certainly make it. On the caustic side, I mean, our improvements are predicated on the caustic side by growing volumes and margins and we believe that that we can do that by looking at on geographies where we don’t participate now and we can look at accomplishing that by just by execution on that side of the business as well.
Owen Douglas : Okay, thanks. That's all for me.
Joseph Rupp: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joseph Rupp for any closing remarks.
Joseph Rupp: We just to thank you for joining us today and we look forward to talking with you again in April when we announce the first quarter results of 2015. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.